Operator: Good morning, ladies and gentlemen. Today is Monday, December 17, 2012, and welcome to the Butler National Corp. Second Quarter Fiscal 2013 Financial Results Conference Call. [Operator Instructions] Your call leaders for today's call are Jim Drewitz, Creative Options Communications; Clark Stewart, President and CEO; and Craig Stewart, President of Aerospace group.
 I will now hand the call over to Mr. Jim Drewitz. Mr. Drewitz, you may begin. 
Jim Drewitz: Thank you very much and good morning, everyone. Before Mr. Stewart begins, I would like to draw your attention to: except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the Safe Harbor provisions, as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risk and uncertainties, which may cause Butler National's actual results in future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental safety, health and environmental regulations, which could require Butler to make significant capital expenditures. The forward-looking statements in this conference call are only made as of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to: factors described under the caption Risk Factors in the company's annual report on Form 10-K, filed with the Securities and Exchange Commission.
 With that completed, I would like to turn the call over to our President and CEO, Mr. Clark Stewart. 
Clark Stewart: Thank you, Mr. Drewitz. Good morning, ladies and gentlemen. We appreciate you all joining this call this morning relative to our second quarter and first 6 months fiscal year operations.
 As you well know, from looking at the 10-Q, our revenue for the quarter was down and our revenue for the 6 months is up slightly. Operating income is down significantly for the quarter and marginally for the 6 months. Net income, of course, is down more than that in the quarter, as you might expect, and the 6 months is off a couple of hundred thousand dollars.
 Our shareholders' equity continues to grow, as you also would expect. The big difference in the 6 months, of course, in the long-term obligations is the preopening fees as we recognized last year when we started paying those, and those set up as a liability and an intangible asset, so that increased the long-term obligations, about $7 million, but also some of that has been paid down, of course, as you can see.
 We are pleased with the operations of the professional services group, which includes Boot Hill and our other professional services agencies. A basically smooth level relatively unchanged as what we've said in the 10-Q, so that's pretty close to what really happened. We're $100,000 difference in the 3 months. And income versus $452,000 last June '12 this current year and $340,000 in the 3 months before that. So they added to the income of the group as we expect. Our problem really is in the Aerospace Products group where we have essentially a depressed economy at this point and the military spending is reduced.
 Hawker Beechcraft is in bankruptcy and that's the primary new airplane facility for a lot of these modifications. So the domestic side of that business is probably going to be affected till we get out of bankruptcy at Hawker Beech and are able to convince customers to continue to buy their airplanes.
 The thing about this is we've tried, as we've talked before, to support the South American, African, Asian markets. They used King Airs for the most parts, some of the other Cessna and Bombardier aircraft, but mostly King Airs. And these orders have a lot longer lead time than the domestic orders. And so we have real up and down in that business but we expect that, that will improve here in the spring. We do not see any real improvement in the domestic military spending or the sales of the special mission product line in the United States.
 We do see some improvement in our Avionics business as we take advantage of the Garmin 750 GPS STC that we recently acquired, developed and got approved, I should say, not if we didn't buy it from anybody. That should help us with the Avionics business and we expect that to continue for the next year or so.
 So having said that, I guess I'm pleased that the doors are open and the lights are on and we don't have a significant loss this quarter, which I kind of expected. And so I think that, that's being carried, of course, somewhat by the casino. But really, we have special-mission work in Arizona that's going to last another 6 months or so. And that pretty well ends as a result of military cutbacks.
 So we have some challenges ahead that maintain the revenue in that particular business segment. We have challenges in the other one that we continually want to increase the market -- knowledge of the market in Dodge City so that we can continue to grow that. We had a relatively good weekend this weekend, but that's all due to marketing of outside people, it's not local markets. So we've got to get -- have to continue to grow that.
 So our backlog still holds. But like I said, the backlog is a considerable amount in the international market. And as a result of that, that market is very, let's say, undefined as how when you get the airplane in and when you're able to get the order and it doesn't show up and then you have to wait. Sooner or later it'll show up, and then you can go do business. That's just a normal characteristic in the Aerospace group. Do you want to address any of that, Craig? 
Craig Stewart: I would say that we are seeing a pretty good response. We've started our marketing effort on the Garmin GTN 750 modification to the Lear 35s and 36s. We're starting to see a pretty good response there. And hopefully, if I go on out and reach out to a lot of these owners and operators with the Learjets. We're also seeing some of our performance modifications for the Learjets being brought up with those customers as well. So hopefully in addition to the Avionics, we'll see some special-mission order, at least performance enhancement work, through those marketing efforts as well. So we are encouraged by the response we're getting to the Garmin 750 franchise. 
Clark Stewart: Thank you, Craig. Jim, I think that's about all I have this morning, unless there are questions. 
Jim Drewitz: All right. Erika, let's go ahead and go to questions in this morning. 
Operator: [Operator Instructions] Our first question comes from Tim McMillan [ph]. 
Unknown Analyst: Clark and Craig, it seems like you've probably been told and so forth that avionics and gambling aren't always a pure mix together, and I've noted having been in the stock for years, back in 1999, you attempted to spin the gambling off, but unfortunately, there just wasn't enough in assets there. Would that be a possibility now in trying to maybe clear define what you're doing is to spin the Boot Hill off and in its own identity and then keep the other aspects of the business in the old Butler? 
Clark Stewart: Well, I'd tell you what. First of all, the gaming versus the airplanes, as you remember, Frank Sinatra, he had a Learjet 23 and he was heavily involved in the gaming industry. But that doesn't mean that applies today. I'm sorry to just bring up a little history. But you're correct on the 1999 spinoff. We went through the checklist of what we could do and we didn't meet all the criteria. But as you know, the Board of Directors at Butler's regularly considers and evaluates the strategic direction of the company and the potential strategic alternatives, including spinoffs, acquisition and other strategic transaction. And we are doing that now and we will continue to do that in the future. So that's about the best I can tell you right now that we are looking at all these opportunities and we haven't got anything definitive yet, but that's where we are. 
Unknown Analyst: It is a decent consideration is what you're saying and... 
Clark Stewart: Well, I guess, I would tell you that we considered it in 1999 and couldn't meet the rules and we're out now checking to see if we can meet the rules, you never know. But we are all looking at it, yes. 
Operator: Our next question comes from Ed Stefan [ph]. 
Unknown Analyst: [indiscernible] were you guys considered new management. I've been in the stock for over a dozen years. I mean, it's always the same old story, we're out of money in gambling and we got an iconic dead end in the avionics and nothing ever happens. It's the same management, I always [indiscernible] you're always telling us, well, the economy is bad and it's this excuse to that excuse. What we need is new management. Someone that isn't badly [indiscernible] or not. And I think that the board of directors ought to get a new management team in there and create shareholder values. I mean, you can saw you have value, but the only really counts is in the price of the stock, and last I saw it was $0.19 bid, and that's just pathetic just for the last 15, 20 years. That's my comment. 
Clark Stewart: Thank you for your comment, Ed. 
Operator: [Operator Instructions] Gentlemen, at this time, I have no further question. 
Clark Stewart: All right. 
Jim Drewitz: Clark, I couldn't understand that last question... 
Clark Stewart: It was really broken up. But. 
Jim Drewitz: Yes. So with no other further questions, I guess, Merry Christmas and happy holidays to everyone. 
Clark Stewart: You bet. Merry Christmas and happy holidays. Thank you all for dialing in. Bye. 
Operator: This concludes today's conference call. Thank you for attending.